Mark Read: So, good morning, everyone, and thank you for joining us in Sea Containers today who you found it busy coming in for our preliminary results for 2024 and strategic outlook for 2025. Now the past year has been extremely busy, and it's thrown up both challenges and opportunities. But throughout this, we remain focused on executing our strategy to deliver long-term sustainable growth and through this value to our shareholders. I'm going to walk you through the key highlights. Joanne will then talk you through our financial performance, and I'll come back with GroupM CEO, Brian Lesser, to talk about the strategic progress we've made this year and is yet to come. We'll follow that by taking your questions. Now before I do that, I would like to make two points: first, to thank Tom Waldron, who's sitting here with us for his hard work for us over the past couple of years in leading our IR team and also welcome Tom Singlehurst, who's crossed sides to join us who's sitting in the front row, for those of you who are not here, he's here. So before we start, we should just look at this cautionary statement and read that carefully. So turning to the highlights. Why we've achieved a lot in 2024. I do know that the main focus for many of you and actual has come up in the Q&A will be our net revenue growth, which came in at minus 1%, consistent with the lower end of our guidance range. We were conservative when we guided you at Q3. Now this performance does mask competing tailwinds and headwinds. Now I'd highlight a robust performance within our top 25 clients, which grew 2% and supported solid growth within media and production. On the other side of the coin, we did face challenging trends in China, an 80 basis point drag and the impact of historical client losses and weaker discretionary spend, particularly focused in the fourth quarter. Despite this, we delivered a stronger headline operating margin at 15%, up 40 basis points year-on-year. And we did this and included within that GBP 250 million investment in AI and data and incremental GBP 30 million over the course of the year. We also made great progress in our strategic transformation infrastructure. Our investment in WPP Open and a stronger balance sheet. So if I'd say, up from what I think the 3 main takeaways were from what we achieved in 2024, there will be first strong strategic progress; second, better new business performance in the second half, I'd highlight those wins. And thirdly, better cash conversion, which I know something that's been on our shareholders' minds for some time. And we do need to get this new business improvement back to where we want it to be to deliver growth where we need to be. So I'll come back to you shortly to discuss why we remain confident, but let me first hand over to Joanne to take you through the financial highlights.
Joanne Wilson: Thank you, Mark, and good morning, everyone. Let me take you through some more detail on our financial results for 2024, and I will start on Slide 7. So like-for-like revenue less pass-through costs fell 1% for the full year 2024. At the end of Q3, our year-to-date like-for-like was a decline of 0.5%. Q4 performance was disappointingly soft and took our full year like-for-like to the bottom end of our guidance range. Despite the softer top line performance, we delivered a 40 basis point improvement in headline operating margin to 15%, benefiting from structural cost savings and continued disciplined cost management whilst driving incremental investment in WPP Open in AI and in data. We also improved our operating cash flow conversion to 86%, benefiting from strong working capital management. That, together with the sale of FGS Global resulted in year-end net debt of GBP 1.7 billion, a GBP 0.8 billion reduction year-on-year. Turning to the headline income statement on Slide 8. Overall reported revenue less pass-through costs was GBP 11.4 billion, a decrease of 4.2% year-on-year. FX contributed to a 3.1 percentage point drag with M&A, a further 0.1 percentage point headwind, leaving a like-for-like decline of 1%.
Operator: [Technical Difficulty] Apologies, everyone. It seems like we have lost connections with our speakers line. Please stand by while we try to reconnect. Call will resume shortly.
Joanne Wilson: Okay. Sorry about that. Operating profit margin of 15% benefited from that 0.4 percentage point improvement on a constant currency basis and was up 0.2 percentage points on a reported basis. Maybe down the P&L, a reminder that income from associates excludes any contribution from Kantar in accordance with IAS 28 due to nil carrying value on our balance sheet. Net finance costs of GBP 280 million increased during the year, reflecting higher interest rates following our successful bond refinancing in 2024. Our effective tax rate increased as expected by 1 percentage point to 28% and noncontrolling interest of GBP 87 million were flat year-on-year. Headline diluted EPS of 88.3p was down 5.9% on a reported basis and broadly flat like-for-like. Consistent with our dividend policy, the Board has recommended a flat final dividend of 24.4p given a total dividend of 39.4p for 2024, which is in line with 2023 and represents a cash return to shareholders of over GBP 420 million. Moving to Slide 9 and the reconciliation between our headline and reported operating profit. Headline operating profit of GBP 1.7 billion is adjusted for goodwill impairment of GBP 237 million, which relates to AKQA and other smaller agencies. Reported gains on disposal before tax were GBP 329 million, was GBP 275 million arising from the disposal of FGS and the adjustment for litigation and other charges include GBP 68 million relating to ongoing legal matters and claims. Finally, restructuring and transformation costs of GBP 277 million includes costs relating to the creation of VML and Burson and the simplification of GroupM as well as costs associated with our ongoing ERP and IT transformation and property-related costs. As a result, our operating profit increased from GBP 531 million in 2023 to GBP 1.3 billion in 2024. Moving on now to Slide 10 and performance across our business. Global Integrated Agencies saw a like-for-like decline of 0.8% in the year. GroupM grew 2.7% in the full year with growth in Q4 of 2.4%. Across the second half, GroupM saw an improved new business performance with Amazon and J&J wins, and a successful outcome from the Unilever review despite some losses, including Volvo. Like-for-like for our global integrated creative agencies fell 3.9% in 2024 and was down 6.5% in the fourth quarter. Almost half of the full year decline was driven by the loss of a healthcare client assignment in 2023 with further impacts from a challenging environment in China and the continued weakness in project-based work weighing on AKQA's performance. We saw continued strong performance from Hogarth with full year like-for-like growing mid-single digits. The step-down in performance in Q4 reflected weaker client discretionary spend as well as the lap of a particularly strong quarter for variable client incentives in Q4 2023. Turning to Public Relations. Like-for-like declined by 1.7% in 2024, which reflected 11 months of good growth from FGS offset by a mid-single-digit decline at Burson. Burson's performance was impacted by the loss of a healthcare client assignments, a more challenging environment for client discretionary spend. The merger integration has gone well at Burson and has been a key focus area for that leadership team in 2024. And finally, Specialist Agencies saw like-for-like revenue less pass-through costs declined 2.3% in the year. CMI Media Group, our specialist healthcare media agency grew strongly, offset by declines at Landor and Design Bridge and Partners. Turning to Slide 11 on our performance by region. North America declined by 0.7% in 2024, with growth across automotive, TME and financial services, offset by lower revenues in healthcare and a tougher comparison for CPG. Revenues from technology clients across North America moved back to growth in the second half. The United Kingdom declined by 2.7% in 2024, lapping a prior year mid-single-digit comparison. Our U.K. business was impacted by its higher weighting towards project-based work, partially offset by growth at GroupM and Ogilvy. And in Western Continental Europe, France, Spain and Italy all grew during 2024. Our largest market, Germany saw a like-for-like decline of 1%, reflecting macro pressures and client spending in automotive and travel and leisure sectors in particular. Q4 growth in Germany improved to 4%, partly reflecting a softer comp. The rest of world declined 2.6% in 2024 with Q4 declining 4.8%. This was largely driven by China, which declined 20.8% in the year and 21.2% in Q4, reflecting persistent macroeconomic pressures and client assignment losses. We expect performance to continue to be challenging in China in the first half of 2025 with some improvement later in the year as we begin to lap easier comparisons from the second quarter. Slide 12 shows Q4 and full year performance across our client sectors. CPG grew 5.1% in 2024, but was down slightly in Q4, reflecting both weaker client discretionary spend and tougher comparator of low double-digit like-for-like in Q3 2024. The technology client sector showed further sequential improvement with growth increasing to 2.5% in Q4 versus 1.3% in Q3 with growth weighted to North America. Healthcare and retail sectors continue to be impacted by 2023 client losses in Q4 with the impact from those continuing to lessen. The automotive client sector declined 3.3% in Q4 with full year growth of 1.3%, reflecting the timing of client spend through the year. Now the waterfall chart on Slide 13 bridges our headline operating margin from 14.8% in 2023 to 15% in 2024, a 0.4 percentage point improvement in constant currency. We are pleased with the delivery of structural cost savings from the strategic initiatives we undertook in 2024. And I'd like to take this opportunity to thank the teams involved for their hard work in making these so successful. Together, these initiatives delivered in-year cost savings of GBP 85 million ahead of our original plan to deliver 40% to 50% of the savings in 2024. This contributed to 0.7 percentage point margin benefit, and we are on track to deliver a full year annualized savings in 2025. Staff incentives were broadly flat year-on-year as a percent of sales and other savings resulted in a 0.3 percentage point benefit to margin. The latter reflects actions taken across our back office to deliver greater efficiencies and to mitigate the impact of inflation. Overall, we saw a year-on-year reduction across our enterprise tech, our finance and real estate costs. These actions enable us to continue to invest in WPP Open AI and data with an incremental P&L investment of just over GBP 30 million, representing a 0.3 percentage point impact on margin. Investment is focused on enhancements to tools as well as deployment across our teams and rolling it out to new and existing clients. And looking forward to 2025, we will continue to prioritize investment in WPP Open in AI and in data and our plans include GBP 50 million of incremental cash spend. Slide 14 bridges the year-on-year movement on net debt, which ended 2024 at GBP 1.7 billion, down GBP 0.8 billion in 2023. Our adjusted operating cash flow before working capital was GBP 1.3 billion. And with a very strong focus on disciplined working capital management, we saw a net year-on-year inflow of GBP 117 million. We saw an outflow of GBP 133 million, comprising the net impact of dividends from associates under 2 minorities and earn-outs of GBP 97 million. Earn-outs increased due to accelerated payments in 2024 and against the prior year figure, which benefited from a one-off settlement. Net interest and tax contributed to GBP 589 million outflow primarily driven by higher interest costs as expected, with cash tax broadly in line year-on-year. M&A spend was GBP 153 million offset by disposals, which included the sale of FGS, which resulted in cash receipts of GBP 163 million in late Q4. This excludes the tax on the FGS disposal, which will be settled in early 2025. Cash dividends were GBP 425 million, broadly consistent with the prior year with buybacks and other items amounting to an outflow of GBP 14 million. Average adjusted net debt in 2024 was GBP 3.5 billion compared to GBP 3.6 billion in 2023. And the average adjusted net debt to headline EBITDA ratio for 2024 was 1.8x, which was slightly down versus 2023. And finally, from me, turning to Slide 15, which sets out our guidance for the full year. Starting with like-for-like, we are guiding to a like-for-like range of flat to minus 2%. This does reflect a degree of caution in light of the uncertain macro environment as well as our expectation of the impact of net new business as we go through the year. We expect our like-for-like performance to strengthen over the course of 2025 with the H1 impacted by the runoff of historical client losses before recent wins fully ramp up. This will be reflected particularly in GroupM's performance in the first half. On profit, we expect to hold headline operating margin flat, excluding the impact of FX with the benefit of annualized structural cost savings and continued disciplined cost management offsetting that incremental investment in WPP Open, AI and data as well as the margin drag from the sale of FGS. We continue to expect a reduction in our cash restructuring costs to GBP 110 million versus GBP 275 million in 2024 and adjusted operating cash flow before working capital of around GBP 1.4 billion. So thank you, and I will now hand you back to Mark, who will take you through our priorities for 2025.
Mark Read: So thank you very much, Joanne. So at our Capital Markets Day just over a year ago, we framed our strategy as being based around these 4 strategic pillars. So let's look at the progress we made on each of these in turn. On the first, AI, data and technology, 2024 was really about cementing WPP Open as a single technology vision, platform and team. And I think it's a significant departure from where we've been historically where technology was often developed at an agency, sometimes even at an office level. This is allowing us to build a single platform that spans the whole company, integrates how we work and also how we work with our clients with great investment in WPP Open now at GBP 250 million per annum we're seeing greater adoption with 33,000 people using it in December and increasing deployment in our clients. And I'd remind you, as Joanne pointed out that, that incremental investment came within delivering 40 basis points of margin improvement over the course of the year. And personally, I was every day showing CEOs and CMOs how it can transform their marketing efforts. On the second pillar, the benefits of creative transformation are coming through for our clients with the top 10 clients growing 2.8% throughout the year, and the top 25 clients growing 2%, a tangible sign that our investment is bearing fruit. Media studio also played a crucial role in our Amazon, J&J, Unilever wins, 3 of the very biggest media reviews in the second half of the year. Now new business performance is the proverbial supertanker, but I do remain encouraged by the improved momentum in our efforts in the second half of the year. Now as you know, 2024 was a year of heavy lifting in terms of network consolidation and simplification, the third pillar, something that required a lot of effort and intensity from my leaders as well as patients from our clients and talent. The good news is this is now largely complete. Our top 6 networks now represent 92% of our pro forma revenue, and we have a much stronger and more integrated proposition for our clients. And when I look at our growth, while I cannot point to significant losses due to these combinations, I do believe that our teams are naturally more focused internally than externally, particularly in the first half of the year, and that naturally had an impact on our new business performance. And finally, as Joanne said, we use these changes to deliver structural cost savings of GBP 85 million, which helped to improve headline operating margin and cash flow and fund our investment in the business. The latter coupled with the sale of FGS, also brings year-end net debt down to 1.7%. Now as we turn to 2025, one of the most important message I want you to come away with is that WPP is leading in AI. We're excited about the prospect of AI, augmenting human creativity, carefully and systematically impacted, and we believe it will be an opportunity for us as a company. It's going to impact and augment our people's creative talent and make them more efficient and is going to deliver greater integration and grow the value of data that we have within the business. Now our approach to AI is not based around activating data ID. It's about applying it to the end-to-end marketing process to deliver better returns to clients. It's worth taking a detailed look to see how this works in practice. Now to show how WPP Open will deliver greater efficiency and effectiveness. Let's look at how these 3 components, creative, production and media work together to integrate the end-to-end marketing process. Creative Studio is used by teams across the business to augment the creative process with AI. For example, and this is just some of the functionality, enables our team to take briefs, surface new insights, come up with different territories and test them in real time against synthetic audiences. These ideas then flow seamless into production studio, which automates how we can turn them into content in a way that's safe for brands and much, much faster. And finally, Media Studio those assets and automates the process of media planning and buying using AI to transform how media is bought with the ability to automatically plan media campaigns and optimize them in real time. And the real power comes when these 3 components work together. We're seeing a 29% improvement in productivity, an 86% reduction in delivery times and trillions more impressions evaluated using data. So how is this landing with our clients. And I think a really important point to make is that we like all our clients to adopt WPP Open, it's in no way a one-size-fits-all solution in reality. In practice, we need to meet our customers where they are rather than where we would like them to be. So here, we set out 3 examples of our largest customers who have embraced WPP Open. And it's important to note that how they've done that is different. For client A, the adoption of Open has come across alongside a massive process of consolidation, moving from literally thousands of global suppliers to just one. Because of this, they are open to a transformative approach to creating custom solutions and embracing integrations has worked very well for them. For them, WPP Open is increasingly being used to turn global ideas into local executions across different media from digital to retail. We've also built into the platform specific tools that allow them to create content for multiple partners in market. Our client B is much more focused on using WPP Open to standardize and consolidate its media, centralizing aspects of digital media to drive efficiencies. It's relied more heavily on the workflow capabilities of the platform and has seen strong early success. Encouragingly, it will be progressively rolling out the use of production studio alongside Media Studio in 2025 to bring media and production more closely together. So here, WPP Open is enabling technological innovation, and we're moving at the pace the client wants. Client C meanwhile is very focused on technology-led innovation. It's using WPP Open to create custom trained models, our brand brains, which are used on a self-service basis. They're increasingly seeing this as a managed service, but it's also making our relationship with them more sticky. Plus they are more focused on getting our input into strategy and planning as the CMO of that client said to me, I never want to see a piece of content where an agency creative was not involved. So it's a balance of AI and human creativity. That's why we talk about augmenting human creativity. And now we have the capability, it's about making sure we get our go-to-market right and meet the clients where they want to be. And nowhere is this more important than at GroupM, where to be frank, we have not realized our full potential in the last 18 to 24 months. And key to closing the growth gap with our best-performing peers is making sure that we can leverage the full benefit of AI, data and technology at GroupM. With this in mind, we ask Brian to join us today, and I wanted to introduce him properly before he talks to you about what plans are for GroupM . And Brian joined us, or I should say, rejoined us in September last year, having previously served as the Chairman and CEO of InfoSum. For those of you who don't know them, InfoSum is a leading marketing data company with experience with both client and media data and connecting the two. Prior to that, Brian led Xandr, the advertising business, AT&T. What's also important is that Brian spent 10 years at WPP before leaving us to join AT&T. He was lastly CEO of GroupM North America. And before that was the brains behind the creation of Xaxis, the agency world's first programmatic buying platform and probably the first technology-led proprietary media business. And I know Brian extremely well, having worked closely with him back in 2007, when he joined WPP through the acquisition of 24/7 Real Media and I was responsible for that business at that time. So I think you can see why we're excited for Brian to come back. He knows our business. He knows data and technology and the media business, both the buy side and the sell side. He's been with us for 6 months now. So we thought this will be a good opportunity for him to share his thoughts and strategy.
Brian Lesser: Thank you, Mark. Good morning, everybody. I'm Brian Lesser, Global CEO of GroupM. It's great to be here with all of you today. I'm excited to share GroupM's vision and how we're driving priorities to improve our offering. Today, I'm going to focus on two key areas. The first is GroupM's 5 strategic priorities. And the second is our data strategy. So let's dive in. Since rejoining GroupM, I've engaged extensively with our clients to understand their needs. The conversations have been insightful and several key themes have emerged. Clients are asking, how can we drive effectiveness through AI and technology? How can we enhance efficiency through greater integration? What structure makes it easier for clients to work with us? To address these, we have taken significant steps, but above all, we remain relentlessly focused on client retention and growth. Let's start with client retention. We are focusing on making client experiences more seamless and frictionless while delivering exceptional value. On the client growth and new business side, we are driving success through creating the most competitive offering backed by our investments in data and technology and leveraging the strongest global network with WPP's assets for multi-market advertisers. We've seen early progress with recent wins, including Johnson & Johnson in the U.S., retaining and growing the Unilever business in the U.S., expanding our relationship with Unilever globally and securing Amazon's global business outside of the Americas. Data, Technology and Open Media Studio were fundamental to winning and expanding with these businesses. To drive change in these focus areas, I've defined 5 key priorities: first, data and technology. We are fearlessly embracing AI and technology with a future-focused Open platform designed for tomorrow. WPP Open and Media Studio from the backbone of this approach, and we're driving towards 100% adoption from our clients. This will enable our shift from ID to AI that underpins our data strategy. Second, people. We are up-leveling our talent by investing in technical employees and workforce development, ensuring alignment with our clients' future needs. Additionally, within the global organization, I have restructured the team to focus on what's most important to our business by appointing 4 new roles focused on clients, growth, transformation and operations and market expansion. Third, innovation. We are entirely focused on innovation, introducing new proprietary trading models and next-generation media products. This will allow us to offer more performance to our clients at efficient prices, using our expertise, scale and data capabilities to redefine industry standards. Fourth, collaboration. We're improving internal and external collaboration across GroupM and WPP integrating media, creativity and production more effectively. And finally, fifth is our org design. We are further simplifying our structure to become a unified company with one voice to clients and partners. In 2024, we made significant strides in eliminating complexity, but we know that we have to be simpler and there is more work to do. Now let's talk about our data strategy and AI because AI is fundamentally transforming our industry. AI is quickly becoming the norm in how we work. As Mark spoke about, consumers are engaging with AI in new ways, gaining a deeper understanding of its benefits and risks. As this shift happens, GroupM will fundamentally change the way we work, streamlining our media planning and buying via automation. We won't just react to this change, we will lead it. The market is quickly moving from identity-based solutions to AI-driven connectivity. Here's what that means. We believe that data connectivity is more important than simply owning a database and the value of connectivity will only grow over time. No matter how many traditional IDs you own, it will never be enough. The real power lies in connecting data across publishers, partners, retailers, platforms and clients and thoughtfully using our own first-party data assets in conjunction with the available data in the world. The future is about connecting disparate data sets to extract insights, create predictive models and drive performance. Traditional ID solutions like those grounded in e-mail addresses only learn from overlapping data points, relying on outdated look-alike models that limit insights. Using technologies like federated learning, we can create shared knowledge and predictions across all of our partners without sharing raw data and activate via simple connector. It's a game changer. And as Mark mentioned, this will drive significant efficiencies in audience targeting and real-time campaign optimization, tailored to clients' unique needs based on their own data maturity. By 2030, we'll be working with thousands of data partners to guide audience decisions. The only way to harness that scale is by leveraging AI at every step of the process. No singular legacy database can manage that scale and complexity. 2025 marks a defining year for GroupM. Our strategic priorities, AI-driven data strategy and commitment to innovation will position us as the industry leader. With our unparalleled global capabilities and relentless focus on simplification, efficiency and growth, we will drive results for our clients as true business partners. Thank you for your time. I look forward to driving success together in the years ahead. Now I'll hand it back to Mark, and I look forward to taking your questions in the Q&A.
Mark Read: All right. So thank you very much, Brian. I'm sure there'll be a lot of questions for you in the Q&A, particularly on the refreshed data approach from ID to AI. So let me outline our priorities for 2025. And look, I need to start by acknowledging again that 2024 did not end quite as we wanted. And even if the minus 1% was technically in the guidance range, I know that it will be a disappointment. That said, we do need to look at the enormous progress we've made in 2024 in terms of the heavy lifting and network consolidation simplification and the step-up in data and technology and the progress we made on those financial metrics. As I look at 2025, there are really 3 things that we need to do as a company, deliver on the promise of WPP Open, get GroupM back to growth and win more new business. And each of these are really related. The WPP Open, we need to push it harder. We're investing more, but we need to get all of our client-facing people using it by the end of the year. I shouldn't underestimate the progress, though. I don't think there's many companies out there that have 40,000 of their own people using a proprietary AI platform every month. So that is an achievement. For GroupM, you heard Brian's plan. He has a great sense of urgency around data, around proprietary media and around new business with a focus on the U.S. And in new business, we need to continue to use WPP Open to deliver and improve our new business success. In the last year, we saw pitches with WPP Open at the heart having a 10% increase in success rate. This year, we don't want any pictures without it. And we need to unlock more integrated pitches with different commercial models, allowing us and our clients to share in the value we create and deal with some of the pricing pressures that we sometimes see. And finally, we need to do all of this with more efficient operations and strict capital allocation areas that Joanne is very focused on. Success on this will deliver our medium-term financial framework. And the central point is that while the fourth quarter performance is not where we wanted it to be, we do believe that the strategy we outlined this time last year is on track. Reflecting this, we remain confident in our medium-term targets, which are for the group to deliver 3% plus organic net revenue growth over time, achieve 16% to 17% margins while also delivering 85% cash conversion. Now final word before we dive into Q&A. I'm extremely proud that the teams have worked very hard in 2024 across many dimensions, whether it's the creation, deployment of WPP Open, the integration of our major integrated creative and PR networks or the simplification of GroupM, I'm very grateful to them and to our clients for their continued trust and perseverance. Thank you. I'm excited about building on the hard work in 2025 and showing what we can do and delivering the benefits of creative transformation to our clients.
A - Mark Read: Thanks for listening. With that, we're available to take your questions, which we do both in the room and on the phone. I think we'll do it sitting down and we'll start with, I guess, Adam Berlin.
Adam Berlin: I've got three questions if I can. I think the first question.
Mark Read: Can you introduce yourself?
Adam Berlin: Adam Berlin from UBS. The midpoint of the guidance for next year is roughly the same as what you delivered in 2024. And I think everyone is a bit confused about why we're not going to get an improvement next year, given you did do better in account wins in '24 than '23. China is a really easy comp and there are a few other things that kind of went wrong this year. Can you just give us a bit more of a breakdown, maybe by segment or just help us understand why you're not guiding for an improvement in organic growth? That's the first question. Second, a similar type question on margins. How are you going to deliver flat margins with negative growth? Does that mean staff incentives are going to remain low again? What else is there that means we should believe that you can deliver the flat margins in that environment? And, third question is you helpfully give this metric of average net debt divided by headline EBITDA to give us a kind of average leverage. And that number is still quite high in '24, but that's probably because the FGS revenue receipts went in there. So can you give us any guidance on where you expect that metric to be at the end of '25? Because I assume that's how you think of capital allocation.
Mark Read: Joanne, if you take those and then I will --
Joanne Wilson: Well, let me answer the last one first because it's easy. So our average leverage, we'd expect that to come down towards the midpoint of our target range, which is 1.5 to 1.75x. As you said, the FGS proceeds were received in December, so a very small impact on the average metric in 2024. On our guidance, we've guided to flat to minus 2%. And you're right, the midpoint is in line with 2024. As we think about the bottom end and the top end of that guidance, there's a couple of things to consider. Q4 was softer for us than we were expecting. We talked about softer client discretionary spend. And in the first couple of months of the year, the macro uncertainty has not improved. If anything in the last few weeks, I think it's got more uncertain. And that makes us cautious, particularly in the first half from the perspective of project-based spend and client discretionary spend. And that's really reflected in that range on the bottom end. The second factor is our net new business. Look, we were encouraged by the progress we made in the second half on net new business. Net new business for 2024 was flat with 2023, but it was higher in the second half, so skewed to that second half. The important thing to think about net new business is the sequencing of that and how it translates to like-for-like. So in the first half of the year, as I said, we will see a bigger impact from client losses, particularly in the first half of 2024 before we see the full ramp-up of some of those client wins. So some of those client wins, which were fantastic and will be great clients for us, will not start to ramp up until Q2. So I think that's important to think about those 2 levers in the guidance. And at the bottom end, as I say, it assumes a more cautious macro perspective as we go throughout 2025. And it also assumes that we don't see continued momentum in our net new business, which we are expecting to. At the top end of the guidance, obviously, you see the flip of that. The macro, I think, will remain challenging in Q1, but we start to see an improved improvement as we go through the year, and we continue to build on that net new business momentum. And the pipeline is healthy, and we've got many good opportunities. So that's really where we are on the guidance. In terms of our margins, look, we've made -- I'm really pleased with the progress we made in 2024, and that was really driven, as I said, the structural cost savings, the back-office efficiencies, but we're also continuing to make progress on the commercial delivery that we talked about at the CMD. And that's enabled us to invest importantly in the Open AI data, and it's important that we continue to do that in 2025. Our guidance reflects the fact that wherever we land at the top line, we do expect to retain flat margins for the year. And I think we'll continue to get more progress on those efficiencies throughout 2025 to be able to fund that. You mentioned specifically staff incentives. Look, I think it's important to call out, 2024 was softer on the top line, but we held incentives flat as a percent of net sales and that's certainly not supporting the margin progress we made in 2024.
Adam Berlin: They're still low versus history, you are saying, will you disagree?
Joanne Wilson: They're low. If you take the last 3 to 4 years, we had max incentive payouts in '21 and a high level of incentive payouts in 2022. So they have come down from those highs, but I don't think it's an issue for us in terms of staff retention, and there are other ways that we look to reward our staff.
Mark Read: I think just on the year, I'd say, as Joanne said, the new business pipeline is strong. I think there's a number of big opportunities. I do think some of the nature of those means they're taking longer to close than we would expect. They're quite complex, and there's lots of things that go on that are more complex. I think it's important to think about the client -- our growth, as I mentioned, our top 10 clients last year grew at 2.8%. Our top 25 grew 2%, and our top 50 grew 1.1%. So we are seeing good growth from our stronger clients. And I think we did guide to sort of -- we were cautious in Q3 about Q4 because we were concerned about the impact of project-related businesses. And I think that impacted you see through the numbers in the U.K. and some of our businesses. So I think it does need to be cautious in Q1, but I think we are -- we do see a lot of opportunities ahead all this year. And certainly, as a team, we're gunning for the top end of the guidance.
Adrien de Saint Hilaire: This is Adrien from Bank of America. So a couple of questions, if you don't mind. To come back on the point about the cuts in discretionary spending in Q4, I think you noted CPG was flat in Q4 versus, I think, it was up 8% in Q3. We had the comments from P&G talking about reducing their fees to agencies because of greater in-housing. Is there a correlation between these 2 information? Secondly, perhaps for Brian, you talked about not necessarily owning traditional ID, but more moving into AI. Do you think WPP needs to make an acquisition or investment into a data set like your competitors have done? And then to come back on the second half story, how much of that is based around existing new business? And how much is it based around new business that you think you're going to gain?
Mark Read: Why don't you take the first and third question? Joanne, and then Brian.
Joanne Wilson: Okay. So again, I'll start with your third question, Adrien, thank you for the questions. On the second half, so we've talked about strengthening performance through the second half. And really, there's a couple of factors within that. China will start to lap softer comps in Q2. And also that sequencing of net new business that you asked about, I would expect it to be an improvement in H2 based on existing net new business. And so as I talked about, those existing losses will hit really from Q1 and some of those wins will only really ramp up from Q2. So we'll see an improved performance in H2 as a result of that. In terms of CPG, look, in 2024, we delivered mid-single-digit growth in CPG. And it's our largest sector, we would expect to see continued growth in 2025. I think again, that growth will be weighted probably to the second half. And what we are seeing in Q4 was about over 50% of that impact was really driven by some of the factors that we've seen earlier in the year, but also that variable incentive that I talked about really impacted that CPG sector. And so I would consider that a one-off. As we go into Q1 and Q2, I think we've seen mixed comments from CPG clients. I think -- and that's reflected perhaps in some of the softer discretionary spend that we saw in Q4. But they are -- many of our clients are talking about continue to invest in their brands, the importance of A&P. And so it's a very long sector for us. In terms of the in-housing and Brian may want to add on this, I think some companies that are talking about in-housing around marketing services and the extent of that is probably an outlier. I think if anything, and Mark quoted a client in his script today, I think we're seeing less of a risk from in-housing as a result of AI and what clients are looking to do is more marketing transformation, more integrated services, working with agencies to help them do that. And we see that as an opportunity. Of course, there's always areas of their marketing services that will make sense for them to in-house, but we're not seeing that as an overriding risk for our business.
Brian Lesser: Yes, Adrien, on the question of whether we need to buy a database. I think it's important to understand that the world of advertising is shifting from the notion that you have to ground everything into a traditional CRM database to a world where you can build predictive models using more sources of data and disparate sources of data and data that's not available to a traditional CRM database. So we're very focused on moving from ID to AI. And what I mean by that is if all you ever do is ground something in a cookie or an e-mail address or a mobile ID, then you're severely limiting your view of consumer behavior across an increasingly complex and fragmented marketplace. Data in the CRM database is not going to help you with TikTok or Meta. We have proprietary data at WPP, and that's important. And I'm not saying that having data is not important, but what's just as important, if not more important, is having the technology and the modeling capabilities to build predictive performance at scale to really meet consumers where they are in this fragmenting landscape. So of course, we're constantly looking at what we can acquire in terms of building out that model, but no, we're not focused on a legacy database at the moment.
Mark Read: Steve?
Steve Liechti: Steve Liechti from Deutsche Numis. First question, a few parts really. Just looking back on fiscal '24, just to help us, can you just remind us of the building blocks of the drags that were there and the 9 months figures, I think we sort of talked about various things. So I'm thinking in terms of new business, you said the new business, net-net was about neutral at the 9 months on a kind of pro forma basis. So what would it be at the 12-month period? And also just remind us in terms of what the drag in like-for-like for China and tech was specifically. We can kind of work it out, but just helpful to get your insights there. And then finally, just a question for Brian. In terms of the plan to move to where you want to move to, I know it's -- everything is changing fast. But kind of where are you in that journey in terms of your go-to-market? When do you think your go-to-market strategy will be absolutely right for what you want to do?
Joanne Wilson: So I just start with the first one. So thanks for the question, Steve. Look, there were 3 factors that weighed on 2024, and we've talked about those consistently through the year. The first was net new business and client losses, the largest being the healthcare client assignment, which we talked about as having around a 1% like-for-like impact in 2024. That will be fully rolled off by Q2. Second factor you talked about is China. China was an 80 basis point drag for the full year 2024. As we go into 2025, we start to lap softer comps from Q2 for China. I would expect China to continue to be a challenge in H1, Q1 in particular and then potentially stabilizing in the second half, and that's reflected in our guidance. And the third factor we talked about was this project-based spend. And that impacted agencies like AKQA, Landor and Design Bridge, and that was also about an 80 basis point drag. So overall, those 3 factors were about a 250 basis point drag in 2024. I think in net new business, the comment that you're referring to is we've said in the past in a good and bad year, net new business can be plus/minus 1.5%. I think we were asked in Q3 about will it be net neutral going into 2025. And I think as I've explained, I think we'll see a different impact in H1 versus H2, so I think a drag in H1 and more positive in H2.
Steve Liechti: Sorry, can I just go back on that particular point. So if we were neutral at the 9-month figures, are we still neutral at the fiscal '24 year-end? And I understand your point about the phasing. But on a [indiscernible] I'm asking what happened in the fourth quarter?
Joanne Wilson: So look, I think it's -- if we talked about GBP 4.5 billion net new business in 2024, which was consistent with 2023, that was more weighted to the second half. It doesn't -- I'd love it to, but it doesn't translate right through to like-for-like in the same way every year. So it's a sequencing of those losses and wins that impact. And so in Q4, we had some great wins. We also had a loss. So I think it's broadly similar to where we were at the end of Q3.
Brian Lesser: In terms of where we are on our journey and when we'll be sort of satisfied with our go-to-market, we have some more work to do in terms of simplifying the GroupM organization. Our client expectation is that we bring them the best of the group in every engagement. But we're -- in terms of our go-to-market, we're there now. I mean we are competing effectively. We are winning pitches. We are building businesses with our clients. We have everything we need to compete, win and retain clients now. The only constant in this industry is change. So you'll see us evolve, but that's the expectation of our clients.
Joseph Thomas: It's Joe Thomas from HSBC. Three from me as well, please. The first thing is the AI investment and the step-up. Just what's the thinking behind the need to do that? And is it OpEx or CapEx? And how is that changing? Second thing, Brian, if I could ask you sort of the same question in a slightly different way. There's been a lot of debate about what was wrong with GroupM in the past. You've talked about what you're doing right now, but perhaps you could identify what you think was wrong there? And fundamentally, how that's changing? I know you put your 5 priorities up on the screen. And then finally, a question on the interest -- the changing interest line this year. The guidance has gone up a bit. What has moved there to do that really?
Mark Read: Why don't I just start on the AI question. I think if you look at where we come from, we acquired Satalia in 2022. It was an AI research company at the time it had 100 people. It today has 300 people and it's actually selling work externally, but many people are working on our own platform. So we've used an acquisition to build an important capability. I think we're seeing it resonate to such a degree with clients that we know we need to invest more, and it's about getting the right balance between margin improvement and growth. And if I think about the financial metrics for '24, so top line disappointing, okay. No, I'm not going to argue with that. We did flag Q4 a little bit for Q3. But I think even there, the decline in project [indiscernible] will be a bit more intense than we expected in Q3. But I think if I look at the margin improvement, we delivered 40 basis points, holding the incentive and a 30 basis point investment in WPP Open. So we are becoming a more efficient and effective company. So the restructuring is bearing fruit. And we're using that to invest in WPP Open in '24. Now we don't think about the margin guidance in '25, we're saying we're going to hold it flat despite some pressure in the guidance on our top line. Now what would happen? Some of the savings from '24 will flow through on an annualized basis in '25, so that will help. We're increasing the investment in AI by sort of similar amount because we think that it will bear fruit in our new business performance. And what we don't want to do is cut the investment in the business to stop the growth. So I think that is very much the approach that we're taking. And I think the increase in investment is less about -- is more about because we see the opportunity, then less about we feel kind of the need to do it. Now we think we are ahead. Everyone is quite cautious about showing their platforms in public, but that's what we hear from clients. And I think that it is going to be a big opportunity for us to have very, very different conversations with clients. We said in the statement, and maybe I should have said in my remarks. I think the way that clients buy what we do is becoming much more like technology services. It used to be and it's still creative, obviously, much more like technology. They're taking a more strategic approach. They're thinking about who their partners are. They want to look at simplifying and rationalizing those rosters. I was with a client, a consumer health company, the other day, they had 1,400 people in their marketing teams around the world. And if you can breathe it, 1,450 agencies, have more than one agency for every person. And that is not uncommon. And if you're the CEO or a CMO or the COO trying to drive change, you can't do that with a roster of agencies that are so complex and deploy this technology. And it's not -- I know sometimes you feel like there's a danger that is sort of a diversion from the reality. I don't think this is a diversion from the reality. I think it's what we need to do to get the business back to growth. I don't think that it's impacting. There have been some comments out there that may be it's impacting pricing and revenue and that's why we saw the softness. I don't think that's the case. I think that if I look at -- and you can see through the numbers, the parts of the business most impacted were our design companies, AKQA that's very project related, those parts of the business. And by the way, technology services have not been immune to some pressure on top line. I think GroupM grew okay, but nowhere near where it needs to be from a competitive performance. And if you look at what we need to do to close the gap with our peers, it's really about GroupM. So there's no pressure on Brian, but probably a 10% delta from where we need to be, and it's half our business. It's a 5% delta. Now the other thing I'd point out is that we don't all report the top line in the same way. And if we reported our top line like Omnicom reported top line, we'd be at 2.1%. So I think that's something else that we sort of need to consider. So it's a bit of a long-winded preamble, but I think it's important to sort of talk -- think about AI and our investments there in the right [indiscernible]. Investment we need to make because we see the potential. And I think that it will fund growth in the business and will deliver success in that.
Joanne Wilson: Just on OpEx and CapEx, it's balanced, the GBP 50 million incremental is balanced pretty equally between OpEx and CapEx. And on interest, look, I think this is pretty straightforward. Our interest cost, our net interest cost in 2024 was lower than what we guided to, and we're guiding in 2025 to flat interest. We are benefiting from the very successful bond buyback, which we use that FGS proceeds to do. We're seeing an impact from the success of refinancing in 2024 bonds. So we have that full year effect of those higher blended rate as a result of that. There's a little bit lower interest income. There's a bit of a drag from FX as well.
Brian Lesser: Joe, on your question, what was wrong in the past? I mean, there was nothing wrong in the past. GroupM is a big, vibrant growing business. I would say the one thing I've observed is perhaps GroupM was too complex and not focused enough on our clients. And we've made those changes, and we'll continue to make those changes. We're relentlessly focused on our clients. And through the 5 priorities I discussed, we'll invest in our platform. We have a market-leading platform. And I think some of our competition has been good about positioning legacy data assets as a future for strategy and we have a different take on that and we're winning business with that strategy. So we'll focus on our platform, our people. We will build the culture of innovation. Many of the innovations that have come out of the media industry originated at GroupM, and we will get back to that culture.
Mark Read: Next Richard, we should start to take -- if there are questions online, we should take those.
Unidentified Analyst: I'll try to be very brief question for Brian and one for Mark. For Brian, you mentioned AI tools. We see a rising portion of spend go through big tech. They all are seeing a rising portion go through their own AI tools. You see ad tech intermediaries talking about curation and data marketplaces, what portion of the market do you see addressable for incremental spend that you can pull into GroupM or incremental margin you can pull into GroupM? And a simple question for Mark. Two of your major competitors are proposing to undertake a very messy merger. What speaks against investing margin this year to take more market share and finally deliver the growth that I think investors are mostly looking for?
Mark Read: Okay. Brian, do you want to --
Brian Lesser: Yes. I mean in terms of our big technology partners investing in AI. That's our expectation, and that's a good thing for us. Their investments in AI don't mean that we're disintermediated from helping our clients spend across platforms. In fact, the more complex platforms get, the more valuable our services and our technology is to our clients. So in terms of where we can offer incremental margin, our 2 fastest-growing sectors are retail media and addressable television, or CTV, and we've already delivered a lot of efficiency and performance to those categories, and we'll continue to innovate in those categories, and I expect those to become a bigger part of what we do with GroupM. But it's not just limited to that. I mean one of our fastest-growing trading partners is TikTok, and you wouldn't have necessarily predicted that 5 years ago, but they're a good partner of ours. And 5 years from now, there will be a media company that we've never heard of that we'll be trading very effectively with. So I think there's nothing but upside in terms of how we help our clients engage consumers, how we predict consumer behavior at scale. And I think we have the best model to do that.
Mark Read: So look, on your question, as I talk to clients about the strengths of WPP, we have a very well-balanced business across creative, production and media. I'd point out that creatively -- to the extent that they [mat] through and they do, they do to some clients, they don't all Creative Company of the Year [indiscernible] Ogilvy was Network of the Year, our client Coke was Brand of the Year and our client Unilever, Creative Market of the Year, so creatively were strong. Our production business in Hogarth, I'd say, is the biggest in the industry, and GroupM, as Brian has said, is very strong. And even post the merger, GroupM will be by a [indiscernible] number 2, based on the pro forma figures, but number 1 still in Europe and Asia, which probably the markets where scale counts the most. So I think our business is in a strong position. And then secondly, we have through WPP Open, I think, a single platform that spans the whole company that I think is extremely powerful. And then the last point I'd make is that the restructuring is behind us. Now I've no doubt, I don't think there are specific client losses we can point at to in these mergers. But I do think people do become more internally focused than externally focused. I think that probably weighed on the business over the course of the year. We've had good -- got a good client win in VML yesterday. I think AKQA had a very strong start to the year in terms of new business, won 3 major clients in the first 2 months of the year. And look, none of that is -- I'm not trying to change our guidance, but I'm just saying that there are positive things, as you say, in terms of the client comments and the points I'd make to clients that I talk to is we have a strong platform, strong technology, strong capabilities, excellent people, and we can start to engage in these more complex discussions because the types of marketing transformations that the clients are looking for are complex, to some extent, they take longer. I don't think that it's a question of sacrificing margin to drive growth. Yes, we have to be competitive on margin. And yes, we have to use all the tools in our armory offshoring, moving to cheaper locations, centralizing services. So all of the discussions we have with clients are around how we deliver to them more efficiently because that's absolutely what they want. But I don't think that's simply a case of sort of a straightforward trade-off between price and margin somehow if we reinvested x amount, we'd grow x amount faster. I think it's more complex than that. Let's take some questions online. So I'm going to read them out. Okay. They're coming. There's three questions online. All three people online in my experience, nine questions. While we wait, is there anyone in the audience has a question or we'll wait to get the online questions out. Okay. So probably, the three questions that were online have not come. So everyone wants to come. Okay. So look, there's no more questions. Thank you very much for attending and taking the time to come and be with us in person. As you know, at WPP, we believe that in-person working is better in the long run for the organization than remote working. So pleased to see you all here. And Joanne, Brian and I really appreciate your interest in WPP. It is a challenging macro environment out there, but I am very positive about the plans that we have and look forward to updating you on the progress over the coming months. Thank you very much, and thank you, everyone, who joined online.